Operator: Welcome to Masonite's 2014 Third Quarter Earnings Conference Call. (Operator Instructions). I will now introduce Jack Ezzell, Masonite's Chief Accounting Officer. Please go ahead.
Jack Ezzell: Thank you Adam and good morning everyone. I'm joined in our Tampa office today by Fred Lynch, President and Chief Executive Officer and Mark Erceg, our Executive Vice President and Chief Financial Officer. The information for the webcast presentation that will accompany today's call is available on our website at www.Masonite.com, under the heading Investors. The earnings release and presentations made by our executives include forward-looking statements that are based on the beliefs of the management team regarding the results of operations of the company as well as the industry and macroeconomic conditions. These beliefs and related forward-looking statements are subject to risk and uncertainties which are described in greater detail in item 1A of our annual report on form 10-K, which is available on the investors tab of our website. Actual results may vary materially from those described in the forward-looking statements. Our management uses adjusted EBITDA to measure our operating performance. Accordingly we supplement our GAAP reporting with the non-GAAP financial measure of adjusted EBITDA. Our definition of adjusted EBITDA and our reconciliation to the GAAP measure of net income is provided in the appendix of today's presentation which can also be found on our website. On today's call, Fred will begin with a company and industry update, next Mark will provide a financial review of third quarter results, and then Fred will summarize our prepared remarks before opening the call up to question and answer session. With that, I will now turn the call over to Fred.
Fred Lynch: Thank you Jack. Good morning everyone and welcome. So, despite some uneven economic news, the North American housing market continued to show steady progress. In the third quarter, U.S. housing starts and housing completions both posted double-digit increases and Canada's housing growth, while modest continued to move in the right direction. Growth in our residential including both wholesale and retail closely tracked the progress made in the overall North American housing market with our wholesale volume up 14% and retail volume up 5% during the third quarter. In addition to a recovering housing market, slide 5 shows they were just beginning to benefit from our efforts to capture more appropriate value for our hard quality products and services. To-date, we believe we’ve realized about half of the pricing benefit from our first quarter price increase and the price increase we implemented in the third quarter of 2014 is expected to begin positively impacting our results in the fourth quarter. Encouragingly, our most recent retail price shop continues to suggest that the product line reset we previously discussed is still unfolding. As you can see it on slide 6, between October 2013 and September 2014, retail prices for two common SKUs more appropriately reflect the intrinsic quality and value of the product being sold. So the retail price for 6-panel hollow core molded interior residential door has increased from the $19 to $26 range to approximately $32, while the price of a standard bifold door has increased from roughly $41 to $52. And while it's not shown here, it's important to note that the wholesale channel prices are moving in a similar manner. Now, we believe in improving price environment positively impact all parties throughout the value chain, from us as a manufacturer to our wholesale, dealers and retail sales partners to end-consumers for a number of reasons. First, a more logical pricing progression and appropriately priced products should translate into increased sales and profits for our channel partners. Second, the additional funding created for us as a manufacturer through higher averaging of pricing allows for more reinvestment into the business. For example, higher unit prices can translate into more frequent deliveries for our channel partners, which in turn may improve customer service levels. Higher unit prices also allowed for more investment in product education and marketing capabilities, which helps drive pull through. And finally, higher unit prices allow us to bring forward a wider variety of new products and styles, which directly benefit consumers by improving their value proposition. An example of this new product innovation can be seen on slide 7, our new Shaker doors will come in a variety of styles, the 3-panel shown on the right which was launched in the third quarter and the 1-panel is scheduled to be launched during the first quarter of 2015, both at price points that are considerably higher than traditional molded panel designs. Based on the success of these designs, one could reasonably expect that additional Shaker versions may be forthcoming during the second half of 2015. We believe that as consumers become more knowledgeable and involved in the category, they will recognize doors as a product which can add real value to the aesthetic of their home. Therefore having a wider variety of door options, utilizing modern technology with classic designs and the highest quality construction will continue to improve our overall value proposition. In addition to focusing on product line leadership, we will also continue to focus on automation, electronic enablement, sales and marketing excellence and portfolio optimization in order to accelerate growth. We believe that strong execution across these five strategic platforms will allow us to achieve our vision of being the best provider of Building Products in the eyes of our customers, employees, shareholders, suppliers and communities and will help us to grow share and expand margins beyond the broader macroeconomic recovery. So with that, I'll now turn the call over to Mark to review our financial results. Mark?
Mark Erceg: Thanks Fred. Good morning everyone. During the third quarter, volume and net sales both increased by 10%, which when adjusted for the Door-Stop acquisition makes the third quarter of 2014, the highest rate of organic growth we have delivered in five years. Volume grew from 7.7 million to 8.5 million doors and net sales increased from $433.1 million to $476.1 million. The double-digit increase in both volume and net sales and tight cost control drove a 25% increase in year-over-year quarterly adjusted EBITDA from $28.4 million to $35.6 million. Excluding a $3 million charge related to quality and inventory obsolescence issues taken in the Europe, Asia and Latin America segment, adjusted EBITDA would have increased $10.2 million or 35.9% to $38.6 million in the third quarter of 2014. On slide 11, we present a summary income statement of our third quarter results. Net sales growth was strong at 10%, but gross profit growth was even stronger increasing 12.2% to $66.2 million or 13.9% of net sales. Moreover, while we continue to invest in new capabilities SG&A growth was kept at half the rate of net sales growth which allowed SG&A as a percentage of net sales to decrease 60 basis points to 11.3%. The combination of higher gross profit and lower SG&A as a percentage of net sales drove a 90 basis point expansion in our adjusted EBITDA margin from 6.6% to 7.5%. Turning to slide 12, we examine the change in net sales for each of our three reportable business segments and the primary drivers of the year-over-year changes. Net sales in our North America segment increased 11% or $37 million. This increase was driven by higher unit volumes which added $28.4 million of net sales and a $14.1 million increase in average unit price driven in large part by our previously communicated pricing actions partly offset by $5.5 million of negative foreign exchange and component sales. Net sales in our Europe, Asia and Latin America segment increased to 15% or $12 million compared to the third quarter of 2013. Higher unit volume increased net sales by $7.8 million primarily due to the Door-Stop acquisitions while positive mix and targeted price increases, predominantly in the United Kingdom increased average unit price and net sales by $2.6 million. Foreign exchange increased net sales by $2 million during the third quarter. Net sales in our South Africa segment decreased 33% or $6 million due primarily to an explosion at our Estcourt Mill in South Africa, which was only partially offset by higher average unit prices. Slide 13 examines our quarterly adjusted EBITDA progression since the third quarter of 2011. As you can see, our reported numbers show steady growth overall with third quarter 2014 results up 25% versus the third quarter of 2013, 42% versus the third quarter of 2012, and 72% versus the third quarter of 2011. This consistent progress has been driven by our strategic tuck-in acquisition program, an improving U.S. housing market, tight operational cost control and more recently, our North American pricing actions. While many facets of the North American housing market continued to improve, international markets pose a different set of challenges. So while third quarter results as reported were strong, there were unusual items outside the North American segment to note within the quarter. First in the Europe, Asia and Latin America segment, the Board of Directors of our wholly-owned subsidiary in Israel decided to voluntarily seek a stay of proceedings from the Israeli courts in an attempt to restructure the business. Consistent with that plan, results from the business were deconsolidated beginning August 21, 2014. As of September 28, 2014, we do not anticipate any material future charges related to Israel beyond the $9.7 million restructuring charge recorded in the third quarter, which importantly is excluded from our definition of adjusted EBITDA. Within the third quarter, we also recorded a $3 million charge in the Europe, Asia and Latin America segment related to quality and inventory obsolescence issues which directly impacted adjusted EBITDA. Second and third quarter results in the South Africa segment were significantly impacted by the explosion which occurred on June 6th, 2014. As previously communicated, we expect the total impact of that incident to be approximately $6 million to $7 million, although the total cost will not be determinable until after the forensic accounting work is complete and any business interruption recovery is finalized. That said, third quarter 2014 adjusted EBITDA, which included an interim partial business interruption payment of $0.8 million was negative $2.6 million versus a positive $1.8 million last year which represents a year-over-year negative differential of $4.4 million. As of September 28, 2014, the mill was running at approximately 80% of pre-incident levels, but as of today, we're pleased to report that full production capacity has been recently restored. On slide 15, we once again present our quarterly adjusted EBITDA progression since the third quarter of 2011, but this time, we’ve adjusted our consolidated results for the Europe, Asia and Latin America and South Africa segment items which impacted the third quarter. Excluding those items, third quarter pro forma results would have been approximately $7.4 million higher than our reported results or roughly $43 million, which on a pro forma basis would have represented a year-over-year increase of over 50%. Turning to liquidity, cash flow, and balance sheet metrics, available liquidity at September 28, 2014 including unrestricted cash and undrawn ABL and an accounts receivable purchase agreement totaled $339.9 million or approximately 19% of Masonite's trailing 12-month net sales. Total debt and net debt to trailing 12 month adjusted EBITDA stood at 4.4 and 2.6 times respectively. Our trailing 12 month adjusted EBITDA interest coverage ratio was three times and our trailing 12 month fixed charge coverage ratio was 1.5 times. Cash flow from operations year-to-date was $56.2 million compared to $29.8 million last year. The increase in cash flow from operations was driven primarily by the improved U.S. housing market and our recent pricing actions. And with that, I'll now turn the call back to Fred to summarize today's discussion.
Fred Lynch: Great. Thank you, Mark. So the summer and early fall months suggest that the U.S. housing recovery is continuing albeit at a choppy pace. Nonetheless, U.S. housing starts and completions both grew at double-digit rates in the third quarter of 2014 versus 2013. And during the third quarter, our volume and net sales both increased by 10%, which as Mark indicated earlier was also our highest rate organic growth in five years. During the third quarter, the combination of an improving economy, improved pricing and ongoing cost control helped to increase reported adjusted EBITDA by 25% and when normalized for the unusual items discussed earlier, pro forma adjusted EBITDA growth would have been greater than 50%. In addition, we continued to obtain greater value for our products. To-date, we believe we have realized about half of the pricing benefits from our first quarter price increase and the price increase we implemented in the third quarter of 2014 is expected to begin positively impacting our results in the fourth quarter. Going forward, we remain focused on execution within our five strategic platforms to deliver above market performance, automation, product line leadership, electronic enablement, sales and marketing excellence and portfolio optimization via strategic tuck-in acquisitions as well as market exits like the recent decision regarding Israel. We believe that these five focus areas and the commitment and dedication of our employees will allow us to drive top and bottom line growth above and beyond the broader macroeconomic recovery and create lasting value for Masonite's shareholders. So with that, we'll now turn the call back to the operator to open the line for your questions.
Operator: (Operator Instructions). Our first question comes from the line of Bob Wetenhall with RBC Capital Markets. Please go ahead with your question.
Bob Wetenhall - RBC Capital Markets: I wanted to ask, it looks like volumes accelerated from the second quarter into 3Q. And if you could give us some color on what you're seeing in October and how we should be thinking about the North American business as we come up on what appears to be an easier comparison, given the harsh winter last year; just your thoughts on volume, as well as some of Fred's comments that it's been a good -- housing market is starting to recover, you guys have a lag and does that translate into some catch-up volume flowing through.
Fred Lynch: I would say that from a market perspective, it continues to be somewhat choppy as we look at the housing starts on a quarter-to-quarter or month-to-month basis. With that said, we're pleased with what we've seen in October, we will not be providing guidance, we don't do that at this point in time, but we’re pleased with what we've seen in October. And yes, you're very accurate in saying relative to last year, last year fourth quarter was not particularly outstanding. So, we anticipate that things would be better.
Mark Erceg: The only other thing I would add to that Bob, as you recall during our last quarter discussion, we talked about the fact that for the first half of the fiscal year, we saw equivalent housing starts only up by 3.3%. So at that time, we suggested that the second half completions wouldn't likely be that robust. However, contained within that you would have seen that for both April and May, housing starts actually were relatively strong, so I think part of the benefit we're seeing here is from those April and May numbers and so I'm not necessarily at this point convinced that you'll necessarily see the same rate of unit volume growth in the fourth quarter if you look back at the housing starts and then the lag data that shows when it is turning to a completion.
Bob Wetenhall - RBC Capital Markets: Thinking about the fact that your incremental margin of 30% reflects some of the good pricing gains, how should we think about any additional investments you're making that are hitting the P&L and what's the right level for incremental margins going forward?
Fred Lynch: Yes, I'll talk a little bit about the investment level. I know we’re being very thoughtful and continue to be thoughtful in our investment. At the same time we recognize that the opportunity to continue this track of EBITDA improvement will be partially driven by the market, but we would anticipate it be even more so driven by the strategic platforms that were we're engaging in. So a good example is the new products that we mentioned earlier in the presentation. So from a SG&A perspective, I think we talked about the fact that while SG&A was up, it was only up about half the level of sales and we would continue to anticipate that at least in the near term that our investment in SG&A will continue to move in that similar direction going forward.
Mark Erceg: The other thing I would add to that Bob is, in the Q, our adjusted EBITDA in total was 7.5%. If you adjust it for those unusual items that we cited, we would have been at 9%, which is very similar to what we posted in the second quarter print and then if you look within the North American segment where there wasn't any of those unusual items, you’ve seen that in the quarter we actually increased our adjusted EBITDA margin by 230 basis points versus year ago.
Bob Wetenhall - RBC Capital Markets: And just final question if I can sneak it in, net leverage is below three times. You have a very good balance sheet. Wanted to understand what are your thoughts kind of thinking about Masonite in 12 months from now, what's the M&A pipeline look like? And just some of your activities in Europe to rationalize the platform internationally. It seems like you're streamlining and you got the balance sheet strength, how should we think about Masonite in 12 months? Thanks for all the color.
Fred Lynch: We're very careful on how we talk about M&A going forward. With that, we’ve done 12 acquisitions I believe in the last four years. Acquisitions remain a part of our ongoing strategy. But we're also careful to acquire companies at a fair value that really have synergistic combinations with Masonite. We’ve an ongoing pipeline that we continue to look at. We'll continue to look for those opportunities, but we will be thoughtful and careful about not overpaying for acquisitions.
Operator: Thank you. Our next question comes from the line of Alex Rygiel with FBR. Please go ahead with your question.
Alex Rygiel - FBR Capital Markets: Could you help us to sort of better understand on an adjusted basis, how you think about incremental margins in this current quarter and how you might think about incremental margin over the coming quarters?
Fred Lynch: Yes, we've consistently said that we believe that from a unit volume basis from a fixed volume leverage standpoint. And we should get about plus 20% on any unit volume leverage that comes to pass. In any given quarter, you know that might change and as obviously we will get additional pricing, you know that baseline level should escalate as well. You know, one of the things in the North American segment that you know kind of impacted the past rate a little bit is just the FX rates that we've been experiencing between in the U.S. and Canada. The Canadian dollar has been dropping fairly precipitously, we’ve a very large business, up in Canada. So that's one of the things that affected it in a short term and near term basis, but on a going basis we always said it's 20% plus on the margin.
Alex Rygiel - FBR Capital Markets: And then secondly, can you give us an update on any significant line reviews that could be occurring at possibly your largest customer or other large retailers.
Fred Lynch: Yes. As we've discussed in the past, there was a line review for national line review for Lowes [ph], that line review took place over the last month or so at least the input requirements from the companies. We have -- we will not have an answer on the outcome of that line review until sometime later this year. What we can tell you that any action the line review is either positive or negative will have no impact on 2014.
Operator: Thank you. Our next question comes from the line of Philip Volpicelli with Deutsche Bank. Please go ahead with your question.
Philip Volpicelli - Deutsche Bank: My question is with regard to Africa, so I think you mentioned in the prepared comments that you're now back up to 100% production. So may I safe to assume that the cost that we saw the $2.8 million negative EBITDA in the third quarter, that's all the repair and then in the fourth quarter I guess there is a smaller piece to get us $6 to $7 for the whole cost?
Fred Lynch: Yes, we said that we think that the total effect be $6 million to $7 million and that the vast majority of that will be contained within the third quarter. We talked about the fact that, we are now running at full capacity, but that's a relatively recent phenomenon. At the end of the quarter, we were at 80% and then just recently brought up the last piece of the site that had to be remediated. So you will see that October is going to continue to be affected. We want to suggest that we're at full run-rate for the month of October, but we’re now running full production schedules. So, there will be a little bit of an effect still in the fourth.
Mark Erceg: And Phillip, so just to clarify that I think we mentioned that there was a loss of $2.6 million in the third quarter that compares to a--
Fred Lynch: $1.8 million gain in the prior year. So, this $4.4 million year-over-year and that included $800,000 of partial in term business interruption recovery payment. There wasn't a lot of property damage; most of the claim is going to be centered around that business interruption claim which as you know it's going to take some months to figure out from a forensic accounting standpoint exactly what the loss business was.
Philip Volpicelli - Deutsche Bank: And then with regard to the quality and inventory obsolescence charge you took in Europe. How comfortable are you that there is no more of those types of charges left to be done in any of your markets?
Fred Lynch: That was obviously an unusual charge. I think I'll just give you some color around that. Outside of the UK, the market conditions for the remainder of our business in Europe inclusive of the Israel business, which just underwent that restructuring, it has been challenging. And so as a company, we continue to make necessary interventions to address the business with regards to cost control and really focusing on all of the measurement that we're writing on those businesses particularly in these markets that are more difficult. So in that third quarter, we took a $3 million usual chart to address specific quality and product obsolescence issues and those charges were related to (indiscernible) installations that will require replacement as well as charges for certain product lines that have been now -- product that have now been discontinued including expected returns from those customers.
Mark Erceg: So, we can never say never, but we do not expect to see something that would be similar in nature on a going forward basis.
Philip Volpicelli - Deutsche Bank: And last one for me. Obviously you've closed down or you’re in the process of closing down Israel. As you look at the, the dots on the map now, are there any other locations that you think are vulnerable to be closed in 2015 or do you think the portfolio now is it's something that consistent for the next couple of years.
Fred Lynch: We will always continue to look at our portfolio and try to determine what makes sense and is better off in our hands. What makes sense in better off as a continuing part of the business and to the extent that something is not returning its value. Then we have to make tough choices. Over the last, since I've been at the company I think we would shut down close to 60 manufacturing and distribution sites. We're not afraid to do that if we need to do that, but what I will also tell you is that our first and foremost focus is trying to get all the businesses that are under-performing fixed and working effectively. So again to Mark's point we can never say never. I think our footprint is largely in fact to where you wanted to be, but as we continue to assess businesses if we think there is something that does not make sense, we'll address it.
Operator: Thank you. Our next question comes from the line of Jim Barrett with CL King & Associates. Please go ahead with your question.
Jim Barrett - CL King & Associates : Fred, could you discuss your price realization in North America in the exterior fiberglass doors as well as in the non-residential doors segments. 
Fred Lynch: Yes. So we do not provide information on a product basis, that's not information that we've given out or not even intend to give that out going forward. I will tell you that on the non-residential space, all of the discussions we've had over the past several quarters has been around the residential space, the non-residential market continues to be pretty flat and pretty close to the trough point or in the mid-year point of that business. So it is not an environment that has the same pricing opportunity at least near term that we've seen in residential markets. With that said, we constantly look at values for all of our products, the value for -- how do we capture the appropriate value for the intrinsic quality and attributes that we're offering our customers and we'll continue to do that in all channels in one.
Jim Barrett - CL King & Associates: And now that the plant incident in South Africa is behind you, what are the longer term expectations for sales growth and operating margins for that business, can you give us any direction on that?
Mark Erceg: Yes, what I would tell you is that, if you look at that business over the last several years before this year's incident took effect, it's been a relatively stable business. And as far as the amount of U.S. dollars is contributed to the pot hasn't really been a large contributor from a growth standpoint. However, the thing we need to ascertain as it relates to that investment, and that's kind of how we consider. It’s been a long-standing investment because it is an entity traded on the Johannesburg Exchange, Masonite International happens to own about 80% of the outstanding shares. The real value we believe over there is tied up in the forestry; we have a series of plantations. We have 25,000 hectares, about 17,000 of which are under plant and honestly over the last several years we've really stepped up our investment in the (indiscernible) culture and the proper cultivation of those plantations and so if you look at the net biological asset values, they've been increasing fairly nicely over the last couple of years and that will continue throughout the entire growth cycle. The plants that we have you know in the ground tend to have a nine-year harvest cycle associated with them and so we do believe that we are creating value there that may not be readily apparent from just looking at the U.S. EBITDA dollars. That said, as Fred indicated earlier. We're not hesitant to make decisions, if there is something that's not pulling its weight or providing the right type of contribution back to the parent business.
Jim Barrett - CL King & Associates: And Mark, my last question is if you could just give us an update on Door-Stop. You gave us some metrics last quarter, but any sense as to given the health of that market. What is the sales growth, what is the growth, if any in profitability year-over-year?
Mark Erceg: Yes, we've been very pleased with that acquisition I think you recall that we paid what we thought was a very attractive value for it. I think it's about 6.5 times trailing since that time is continued to perform well. In the Q3 print, you would have seen that Door-Stop contributed about $12 million in sales and about $2 million of EBITDA. So it does continue to have very nice margins and it continues to perform very well.
Operator: Our next question comes from the line of Al Kashalk with Wedbush Securities. Please go ahead with your question.
Al Kashalk - Wedbush Securities: Just a follow-up on South Africa, I want to be clear the product write-down or the inventory write-down that was past installation, products discontinued and it's not a function of demand volume being softer and therefore excess inventory.
Fred Lynch: Correct. And to be clear the $3 million unusual charge that was taken that was in the Europe, Asia and Latin America segment. So that was not related to South Africa in any way or the incident in South Africa.
Al Kashalk - Wedbush Securities: Second, Fred, if I may, obviously the housing market is choppy, you’ve talked through that, you talked about the pricing that you want to get through in terms of realizing the economic value of the products, but could you share with us now maybe volume has caught up in the marketplace, sort of the cadence or your playbook on pricing, do you look to use a seasonal price increase? And then re-evaluate that not only all the time, but perhaps mid-season? Just talk a little bit about pricing here, which is clearly a key to your strategy.
Fred Lynch: Yes, I guess the way that I would look at it, there is no norm for pricing in the Door industry, we went period of several -- we’re not able to put price increases through. In fact, we are constantly defending and price increases were actually not increases it was price decreases that we were struggling with and dealing with. I think about the last four quarters and I think we're kind of in catch up mode, trying to get back to a level of profitability that reflects the investments that we have in the ground and the investments that we need to continue to make to offer our customers the types of products and services that they demand and that they should be able to capture. Going forward, what I would say is that most businesses in the building product industries ultimately get to an annual price increase, obviously that's an easier way to run your business, if you can get to that point, but the timing of when we'll actually get to that point. I think it's just too early to determine at this point.
Operator: Our next question comes from the line of Scott Levine with Imperial Capital. Please go ahead with your question.
Scott Levine - Imperial Capital : So I know it's your practice -- not your practice to give guidance, but was hoping you might be able to provide a little bit color regarding expectations for seasonality heading into the winter quarters, absent to normal weather. Should we be expecting a typical seasonality and any color on regional demand trends, if you have anything interesting to offer there.
Mark Erceg: Yes, the couple of points that I would make is one, you're right, we do not provide guidance and we don't plan to alter that practice here today, but two, there is some seasonality to our business and if you would look historically, you would see that it tends to be the case that the Q4 period as one of our weaker periods of the year. And so I think that's obviously always notable, I don't see what would change that affect as we sit here today. The other thing I would simply point to is, Fred, did provide some context early on in the call that we did take a series of pricing actions this calendar year. The first quarter pricing action we've seen come through in the Q2 and Q3 print is reasonable to assume that that will also present itself to us the next quarter and then the more recent pricing action that we took in the third quarter of this calendar year. We said, it really won't start to come into effect until the fourth quarter. So obviously that's just help provide some guidepost for you.
Scott Levine - Imperial Capital: And then one quick follow-up, anything or did you mention on the cost inflation, it's kind of steady as she goes there any changes in cost trends worth noting?
Mark Erceg: We have said that we are seeing a little bit more commodity escalation. You may recall that when we first started talking about the Q3 pricing action. We said that we thought that it was worth about $7.5 million per quarter on a gross basis, but we're talking about it being affected as far as $5 million on a net basis. And the reason for that, you may recall is that we said that we think for our purchase tool it's about $800 million of materials. We think we're seeing another point of inflation against that on a net basis, which is $8 million per annum or $2 million per quarter. So you take the 7.5 gross, you take the $2 million off the commodity escalation, it's about $0.5 million traditional SG&A capabilities that, Fred, cited a little bit early on in the discussion here today and that brings you the 5. So we’re seeing a little bit more pressure there, but still low single digits overall.
Operator: Ladies and gentlemen, there are no further questions at this time. I would like to turn the floor back over to Mr. Fred Lynch for closing remarks.
Fred Lynch: We want to thank everyone for their participation and for the questions today and for joining the call. And we look forward to speaking to you again at the end of the fourth quarter. All the best. Operator can you please provide replay instructions?